Executives: Robert Goldstein - Executive Vice President and President of Global Gaming Operations Sheldon Adelson - Chairman, Chief Executive Officer, Treasurer, Member of Nominating & Governance Committee, Chairman of Las Vegas Sands LLC, Chairman of Sands China Ltd and Chief Executive Officer of Las Vegas Sands LLC K. Kay - Chief Financial Officer and Executive Vice President Michael Leven - President, Chief Operating Officer, Secretary, Director, Chairman of Advisory Committee, Acting Chief Executive Officer of Sands China Ltd, President of Las Vegas Sands LLC and Chief Operating Officer of Las Vegas Sands LLC Daniel Briggs - Investor Relations
Analysts: Shaun Kelley - BofA Merrill Lynch Jon Oh - Credit Agricole Securities (USA) Inc. William Lerner - Deutsche Bank Securities Felicia Hendrix - Barclays Capital Janet Brashear - Sanford C. Bernstein & Co., Inc. Joseph Greff - JP Morgan Chase & Co Mark Strawn - Morgan Stanley Robin Farley - UBS Investment Bank Harry Curtis - Nomura Securities Co. Ltd.
Operator: Good afternoon. My name is Ally, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Second Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to your host, Mr. Dan Briggs. Sir, you may begin your call.
Daniel Briggs: Thank you, Ally. Before I turn the call over to Mr. Adelson, let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of Federal Securities Laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. Please see today's press release under the caption Forward-Looking Statements for a discussion of risks that may affect our results. In addition, we may discuss adjusted net income, adjusted diluted EPS and adjusted property EBITDA, which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded. With that, let me please introduce our Chairman, Mr. Sheldon G. Adelson.
Sheldon Adelson: Thank you, Dan, and good afternoon, everyone. On behalf of our management team and our Board of Directors who are here with me today, I would like to thank you for joining us. In an effort to get to more of your questions, I'll provide a brief overview of our results from the quarter and then turn it over to Mike, who will provide some quick operational updates. We will then move to the Q&A part of the call. So let's get started. I want to begin by saying that across every part of our operations, I cannot be more proud of the team members and management teams who helped us achieve this historic quarter, and these results are truly historic. So let me spend just a minute reflecting on what the company achieved over this past quarter. First, the company record $2.35 billion in revenue, a 47% increase compared to $1.6 billion during the same quarter 1 year ago. Second, the company record and to the best of our knowledge, an industry record, $902 million in EBITDA. This is an increase of 90% over last year's $473 million of EBITDA. Finally, the company produced adjusted earnings per diluted share this quarter of $0.54. This is compared to last year's second quarter, which produced adjusted earnings per diluted share of $0.17, and what I understand is also an estimate -- a consensus estimate of $0.43.  More broadly speaking, our growth curve has continued unabated. We have shown steady consistent growth, and in fact, these results represent the eighth quarter in a row that we have increased our EBITDA from one quarter to the next. As the only operator with a presence in the world's 2 most lucrative gaming markets, Macau and Singapore, we see absolutely no reason, no catalyst at hand which would change this upward trend.  Let me now give some commentary on our specific property operations. I'll start in Singapore, where Marina Bay Sands recorded a whopping $405 million in adjusted property EBITDA. While I believe the ramp-up process is still ongoing in Singapore, Marina Bay Sands generated net revenue of $738 million and an EBITDA margin -- are you listening? -- 55%. Just want to make sure you heard it.  Rolling Chip volume, the VIP business, was a record $12.2 billion. Non-Rolling Chip drop mass market was $1.1 billion, and slot handle reached $2.38 billion. Our combined mass win was nearly $4.2 million per day versus $3.7 million per day during the first quarter of 2011. So that's sequential. That's an increase of 14% quarter-over-quarter, which we think is pretty healthy as we used to like to say in Boston, how about them apples?  The property also saw its hotel Average Daily Rate increased to USD $295, while occupancy rose to 90.8%. Demand is quickly starting to outpace supply at Marina Bay Sands, and ADR and occupancy are continuing to rise. It's important to point out that the property's non-gaming amenities, like the hotel, are very valuable contributors to its overall profitability, especially with the profit margins they were able to deliver.  Now I'm being advised that I need to help manage all of your expectations as it relates to our business in Singapore, something I haven't been very good at in the past. So I'll leave you with one simple conservative statement, which is this. Now that we have entered our second year of operations, it is increasingly clear that Marina Bay Sands is becoming the most successful integrated resort in the history of the hospitality, gaming and entertainment industry. So with what I take as an expectations managing remark behind those, let's turn to our results in Macau. The Macau properties operated by our majority-owned subsidiary, Sands China Ltd., also enjoyed a very strong quarter. Total net revenue for Sands China was $1.2 billion. As you know, we place an emphasis on EBITDA and EBITDA margin, and we continue to widely lead the market in both categories. Macau property operations adjusted EBITDA was a record $392 million, an increase of 27.5% versus the same quarter last year, while adjusted property EBITDA margin was 33% again, a leading figure.  The Venetian Macao delivered record property EBITDA of $258 million with a 35% EBITDA margin. The Venetian Macao remains comfortably in its perch as Macau's leading mass market property, and as we expected, the opening of Galaxy Macau has served as an additional phoenix for The Venetian and our COTAI Strip.  Gaming volumes grew in each segment of the business during the quarter, with Non-Rolling Chip drop increasing to a record $1 billion. Slot handle jumped 22% compared to the same quarter a year ago, while Rolling Chip volume increased by 37% compared to last year. The Sands Macao, once again, displayed its mettle on the Macau Peninsula by delivering adjusted property EBITDA of $96 million, up 18% from the second quarter of 2010 and delivering a run rate that is approaching the record levels of profitability the Sands achieved prior to the opening of The Venetian Macao in August 2007.  Non-Rolling Chip drop was up 18% year-over-year, while Rolling Chip volume increased to $7.75 billion. Slot handle set an all-time record of $463 million. The Plaza Casino at the Four Seasons delivered $38 million in adjusted property EBITDA, up from $33 million a year ago. The Plaza Casino is primarily designed to cater to the VIP part of the market, and in a moment, Mike will give you an update on our current initiatives designed to enhance our rolling business there.  Before turning to our U.S. operations, I want to highlight one more thing in Macau, which is the performance of our retail business. Retail sales at The Venetians Grand Canal Shoppes were up 50% year-over-year, while sales at the shops at the Four Seasons soared by 70% compared to last year. We're now collecting more in percentage rents than we ever have at this point in the calendar year. We have always been the most fervent believers in Macau's ability to succeed and flourish as a retail destination, and clearly, that faith is now being rewarded. Moving on to the U.S. Our Las Vegas properties reported adjusted property EBITDA of $93 million, an increase of 41% versus the same quarter a year ago. Stronger cash hotel revenues from convention, group meeting and FIT customers reflect the improving Las Vegas environment. Sands Bethlehem in Pennsylvania recorded adjusted property EBITDA of $21 million. The hotel at Sands Bethlehem celebrated a successful opening during the quarter, and along with the forthcoming retail mall and event center, we believe Sands Bethlehem is well positioned for additional growth.  So with that overview of our quarterly results, let me now turn the call over to Mike to cover our operational updates. Mike?
Michael Leven: Thanks, Sheldon, and good afternoon, everyone. Let me start with an update on Lots 5 and 6 in Macau. We have finalized franchising agreements now with 2 very prominent international hotel brands for Lot 5 and are now working with those companies to coordinating an announcement of those brands, which we expect will come very soon.  The opening of Lot 5 is still on target for the end of quarter one next year, about 8 months from today and will feature a 600-room, 5-star hotel rooms and suites, along with a 1,200-room 4-star hotel rooms and suites. The property will also open with a variety of retail offerings, more than 300,000 square feet of meeting space, 11 food and beverage establishments along with 106,000 square foot casino and VIP gaming areas.  The opening of what we are calling Lot 6A, which will feature nearly 2,000 Sheraton-branded rooms, is on track for the third quarter of 2012. Along with its casino, the opening of Lot 6A will include most of the 13.7 million square foot complexes remaining dining, entertainment, retail and meeting facilities. Thereafter, opening in early '13, Lot 6B will feature an additional 2,000 rooms and suites under the Sheraton Towers brand.  In our view, the opening of Lots 5 and 6 is a watershed moment for Macau as it takes its place amongst the leading business and leisure destinations in Asia. The addition of 6,000 plus rooms from 3 world-renowned international hotel brands, each armed with powerful global distribution systems, will be a potent catalyst to growing our non-gaming business in Macau and in particular, our MICE business. They will be the only properties to open for the foreseeable future.  As Sheldon alluded to earlier, let me now provide an update on the initiatives we're implementing to grow and enhance our VIP business in Macau and more details on that from Rob Goldstein later.  Last quarter, we talked about building better relationships, hiring additional marketing talent and improving service standards as some of the software we were using to enhance the growth of our VIP business. Together with those ongoing efforts, we have now approved and are embarking on a $125 million capital expenditure campaign, which will help us complete the hardware part of the process. These capital investments will be used for a variety of projects, several of which will be completed ahead of Chinese New Year in 2012. We believe these investments are vital to the long-term strategic positioning of our VIP business in Macau. Let me close my remarks with a couple of significant personal announcements. First, we are happy to announce that we have appointed George Tanasijevich as President and Chief Executive Officer of Marina Bay Sands. George joined the company in 2004, working for us first in Macau and was our very first Singapore employee. In addition, Benny Zin, who has served in a couple of roles since joining Marina Bay Sands, has been named the property's Chief Operating Officer.  In Macau, the SCL Board of Directors will approve later this evening the promotion of Ed Tracy to the position of Chief Executive Officer. Ed, who is currently serving as President and COO of Sands China Ltd., has just completed a very successful first year in Macau. The combination of George, Benny and Ed, along with John Caparella in Las Vegas and Bob DeSalvio in Pennsylvania, gives us a team of experienced and dedicated leaders at each of our properties. We are extremely confident that this team will provide stability and deliver growth across all of our portfolio.  So that concludes my brief remarks. At this time, Rob Goldstein, Ken Kay, Sheldon and myself will be happy to address any of your questions.
Operator: [Operator Instructions] And your first question comes from the line of Mark Strawn.
Mark Strawn - Morgan Stanley: Two questions. First on Singapore. I know you guys want to keep expectations under control. But maybe generally speaking, as we transition into the summer period, there is maybe a thesis out there before that the summer could be the seasonally strongest period. Do you still think that's going to be the case as you look forward?
Sheldon Adelson: I got to tell you, if July is any indication, it seems to be.
Michael Leven: Is that the question, Mark? Is the summer...
Sheldon Adelson: Summer is likely to be the best quarter of the year, but it's difficult to say. Last year, we were still ramping from the opening. We continue to ramp, and I think we'll continue to ramp for many, many months, if not years, to come. And in this quarter, we're just finishing July. We have 26 days to speak about, but we're not going to speak about it. But if July is any indication, then it would indicate that summer would be the peak season. But then again, I read in an analyst report yesterday that December is supposed -- that last quarter is supposed to be the best season. I think it's too early to tell which is the best and which is the second best quarter.
Mark Strawn - Morgan Stanley: Is there anything on the event calendar or holiday calendar in the summer that would cause any seasonal shifts at this point? Or it should be a pretty standard quarter with maybe some better seasonality?
Michael Leven: I don't see any of that at this point. There are some Singapore holidays that go on and what have you, but I think that's everywhere. Once again, I think as Sheldon said, the -- I think we said this last quarter too. Understanding the seasonality of Singapore is going to take a while. I think it's going to take us another -- probably through another 6 or 8 months before we really get to understand what that seasonality is. Right now and for the past quarter, as I said before, the segments that are working in the property are all working. Tour operators, convention business, banquet business, food business, transit and FIT business and gaming business are all working together very, very well. And it's really, from a past experience, frankly, I've never seen a property of this size and magnitude ramp as quickly from the day it was opened. And we still have a couple of more big events coming with Louis Vuitton opening in September and 2 more nightclubs and about another 30 or 40 retail stores. So we're not 100% open even yet, and we don't have the Subway coming as well, which comes in January or February of '12. So it's hard to say what that seasonality process is at this point.
Mark Strawn - Morgan Stanley: That's very helpful. And just one follow-up if I may on Macau, and maybe this question is for Rob. I know you've highlighted in the past some of the key and maybe investments in getting in the right junket relationships in place in Macau to really drive that VIP business. Do you have any general update on how that process is going and maybe just a general sense of timing on some of those?
Robert Goldstein: Mark, as we said before, it's an ongoing process. I mean, it's both -- it's a capital spend to improve physical product. It's relationship-driven. It's also additional conversion for more capacity of VIP. I think if you break out our results, our Venetian numbers bode pretty well for the future, and in the VIP segment, we're leading the market. We're struggling more in the Sands, and obviously, there's a lot of work [indiscernible]. So we're disappointed we didn't do better before season, and we will. But it's a 3-part process. It's conversion of the space physically to be more competitive. It's better service and for certain, it's enabling us to work with a better junket teams over there in Macau. And having spent a week there, I think we're making great progress. It's not coming as quickly as I wish it would come except for Venetian, but we're getting there. And I think you'll see it -- it takes a while to figure out Singapore, and obviously, we're seeing some results there. And I think you will find in the future that our efforts in Macau in the junket segment will improve materially.
Operator: Your next question comes from Janet Brashear.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: As we're talking about Macau, I wonder if you could describe the mood in Macau as you think about the Chinese political transition in 2012 and whether or not there's a thought that there's any particular impact that that'll have on Macau.
Sheldon Adelson: Nothing. I mean, those people -- I think Xi Jinping is going to be -- he's been to Macau recently. And I think the relationship between Xi Jinping, he used to be the head of the Hong Kong, Macau and Taiwan affairs office. He's quite familiar with Macau. I think if anything, hopefully, he's more disposed -- favorably disposed toward Macau. But since Macau is responsible for its executive and administrative decisions, under their basic law agreement forged many years ago, I think that -- we don't expect any unusual events, any extraordinary events. But now that you asked the question, I think that Xi Jinping maybe a little bit more favorably disposed towards Macau because of his experience with it.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: But as you think about the local political environment, as you said, within Macau, we've heard from some other concessionaires that they're getting guidance to add integrated resort elements to their COTAI plans from the government. Are you getting any input as well, or are they not giving it to you because you're so far along in your development at this point?
Sheldon Adelson: Well, we're the guys who brought up the subject with the government. I've been saying that ever since we opened the Sands in 2004, that anybody that opens any property should be required to have a matrix of both gaming and non-gaming activities and that to start off with, that the gaming portion of the total construction square footage should not be more than 10%. And if they cut back on certain percentages of, let's say, exhibition or convention space or shopping or hotel rooms, they have to cut back on the casino space. So we're all in favor of that. And as we said, as my vision originally called for, the more critical mass we have in COTAI the better. Galaxy has helped and supported our -- look, City of Dreams helped and supported COTAI as the place to go. And all you analysts were talking about, now that Galaxy has opened, it validated the COTAI and the desire of everybody else, SJM, MPEL, Wynn, SJM, all the others are anxious to open in COTAI. Now I want to remind you that when I came up with the vision, it was a swamp and a bay. Nobody wanted the land. Now everybody wants the land. So it just validates -- I'm very happy. I remember saying many years ago that I would even welcome Steve Wynn on COTAI to create some critical mass. But now that I have had dinner with Steve Wynn, I'd even welcome him more. So getting critical mass out in COTAI is an important thing, and I see it happening.
Operator: Your next question comes from the line of Joe Greff.
Joseph Greff - JP Morgan Chase & Co: A few quick questions here. On Singapore, the volumetrics across the board were much better than we had forecasted and probably with the most upside relative to our estimate on the Rolling Chip volume. Can you comment there why you think you grew Rolling Chip volume? Is it more effective guys in the field? Is it gaining market share? Is it something you're doing at the property? Is it something with your competitor creating a different set of competitive pressures? If you could help us understand that, that would be helpful, and then I'll follow up with a couple more.
Robert Goldstein: Obviously, Joe, it's a lot of things. It's not one variable, it's many. Obviously, the product itself is iconic and very helpful in terms of positioning. People want to come to MBS. It's a product that people know, not just in the Rim, but worldwide. Two, I think it's just a very desirable -- Singapore is a wonderful place to visit, and the mainland Chinese and other people in the Rim, the Japanese, are very comfortable in that environment. It's a very special environment: easy access, culturally comfortable. And I think that you're seeing more and more of that. I'd also point out I think it actually works very well on the Macau operation. David Sisk and Ed Tracy are having a discussion about Macau. We think it's not even, in fact, a negative, maybe positive. But we're finding customers we've never seen before, large customers, different customer seeks out the Singapore experience. I think it just gets better as the mainlanders get more comfortable and the Japanese and Thailand. It's a very diverse mix, and it's plentiful and it's very elite. And as our product improves, we'd be building more suites on the 55th floor in Tower 3. I think you'll just simply see it get better over time. I can't speak to RWS, and I haven't been in contact with them recently. But I suspect Singapore is a market that's starting to mature and getting stronger every day. And I think there's no reason to think it can't continue to grow and improve. It's a different experience in Macau. It's a very, very special experience. I will take my hat off to our team in the field. I think our team, led by Larry Chiu, has been exemplary. We have a really strong presence in every major Asian capital, and I think those guys in the property and the field have done a spectacular job and the results speak for themselves. And I think we're just at the beginning of that process. We're not mature yet at all.
Joseph Greff - JP Morgan Chase & Co: Maybe put another way, Rob. On the VIP side in Singapore, is it driven by an increased number of VIP patrons? Or is it new or repeat or is it just meant for VIP trip?
Robert Goldstein: Well, it's both. I think it's increased VIP...
Sheldon Adelson: It's one from each call.
Robert Goldstein: Sheldon [indiscernible] one from all the calls, like a Chinese restaurant. But the truth of the matter is...
Sheldon Adelson: One from each call.
Robert Goldstein: Each call. The truth is it's all of the above. We're seeing very, very high-end customers. We're seeing diverse representation of the geographic perspective. We're seeing repeat because people like the product. And also, we're seeing it being the kind of place that we -- talks to Indonesia as well as Malaysia, Japan, and mainland has definitely discovered -- the mainland Chinese have definitely found comfort in there. So it's all of the above. The kind of numbers we're experiencing in the growth, 20-plus percent, it doesn't come from one piece. It comes from many different variables, and all of the above very honestly. We're maturing as a team. We're maturing as a property, and Singapore is just a great place to visit. So it's a wonderful situation right now for us.
Joseph Greff - JP Morgan Chase & Co: Great, and...
Michael Leven: I think, Joe, excuse me 1 sec. I think we should also add, Joe, because I anticipated the question that Rob and the guys -- we have not changed the structure financially. We have not changed the credit financially. We're doing the same things from an organization standpoint. I think Rob is being a little modest here. My own view of it is that he has put together a phenomenal team of people, and these people are now just starting to really, really go. And I think that's really why we're seeing the big difference. So obviously, the hotel was there before, and now that team is maturing and the expectation of their performance, not only there, but wherever else we go in Asia. We're going to have a base to be able to grow from there.
Sheldon Adelson: Goldstein, modest? Never happened.
Robert Goldstein: Very modest.
Joseph Greff - JP Morgan Chase & Co: And then switching over to Macau if I may. Of the Rolling Chip volume, what was the mix between direct and junket?
Robert Goldstein: Mix hasn't changed a lot. We're still running -- the great majority, obviously, is up 4 to 1 in favor of junket. But our goal is to not be out of direct business, but not softer in the junket side as a result of favoring the VIP. In the past, we were premium-focused. We want very badly to encourage strong relations with the major junket people in Macau. We're trying to emphasize, if a customer wants to come direct, they can. I think David and ED have figured out that we want to service both ends of the spectrum. We don't want to lose our junket perspective. That's still going to be the driver. Sheldon's referenced the importance of junkets in Macau. We're really just beginning there. Once we figure out our service objectives and we really get our relations right, and obviously, fix our house physically especially in the other 2 properties, not The Venetian as much, I think you will see a lot better improved performance. But we're still -- we offer the Premium Direct option, but we stress the junket side. We want very much to build our junket relationships.
Joseph Greff - JP Morgan Chase & Co: Great. And then a question for Ken on the Singapore refinancing, if you can give us a timing update?
K. Kay: Singapore, or are you talking Macau?
Joseph Greff - JP Morgan Chase & Co: Singapore.
K. Kay: Singapore, yes, we haven't started that process yet. We're getting to the tail end of the kind of refinancing in Macau. And once we've put the finishing touches on that, it will be down talking to the lenders with regard to the opportunities in Singapore. So probably, those conversations will take place in the next month, 1.5 months.
Operator: And your next question comes from the line of Jon Oh.
Jon Oh - Credit Agricole Securities (USA) Inc.: I'll start with a question on Macau. Can you give us a quick update on, especially The Venetian across the board, on mass market like your Rolling Chip as well as the direct VIP, especially since the opening of Galaxy Macau? Have you seen any significant change in foot traffic and also in the profile of the VIP players that are coming, the frequency of visits? Any color would be helpful.
Robert Goldstein: We're very supportive of the Galaxy effort. I was there last week, and I think it's definitely helping the -- helping to make COTAI a good option for the customer. There's no question that they're bringing value to the market. Have we seen significant improvement? No. I think we've seen -- also, in our cause, it's a positive for us. Room service guys continue to grow and do better because obviously, it's always good in any market if your competitors do well. And I think we're seeing it's helping -- it's material -- it's not material to the VIP nor the mass. What's material is our guys are doing a better job of marketing the building, taking advantage of our access to borders. I think our mass market approach gets stronger by the day. Our border reception is stronger by the day. Our ferry business is stronger by the day. We're going to help build our house, and Galaxy is a positive. But it's certainly not material at this point to our core business in VIP nor mass.
Jon Oh - Credit Agricole Securities (USA) Inc.: So is it fair to say that so for now, the observation, it's a positive, it's not a negative?
Robert Goldstein: No, it's not negative, and that's for sure. It's not negative. It's positive. It's a question of how positive it can get. And I think, again, as more players come to the COTAI piece, Macau is better. We're the biggest player there. We make the best effort to be there, and Sheldon got up their way in advance. And so I was hoping to 5 and 6, we owned so real estate, we welcome and want to see more growth in COTAI clearly. Has it been material at this point? No. It hasn't driven our business in any segment.
Jon Oh - Credit Agricole Securities (USA) Inc.: Okay. And a follow-up on Singapore, great quarter and it's encouraging to see that your Rolling Chip volumes are up almost, I think by my count, 50% since fourth quarter last year. Could you maybe just share with us on what are your thought process with respect to junkets being approved in Singapore? How far is the government into that approval process? And any guidance on time line as well as any color on that would be very useful.
Robert Goldstein: First of all, we will know the junket issue -- the junket issue is a government issue, and we don't know -- we can't speak to the government's intentions. We simply wait their advice and counsel. And when it happens, it happens. We have yet -- we've got a number of junkets for review by Mike and Sheldon that we're considering. We have not submitted 1 application yet. So just sit here and opine as to what the government will do timing wise or eventual result would be following.
Sheldon Adelson: I'd like to make a comment that I may have spoken otherwise in the early going a year ago. As I understood it in the past, they said -- the government said that if a junket rep was approved for 1 property, it would have to reapply to do business with the second property. But maybe I misunderstood that or they made themselves misunderstood. The way it is today is that if they approve for RWS, all we have to do is make a request without resubmitting all the information and getting second approval. So essentially, whoever submits for 1 property will -- the junket rep will be able to work essentially for both properties. And there's still -- I don't know. The scuttlebutt is that they should have some answers by the end of the year. The scuttlebutt also is that a lot of the Macau junket reps have not yet submitted apps. And who knows? It's up to the government. We don't know, and we'll see what happens. But in the meantime, we're doing very well, thank you.
Operator: Your next question comes from Felicia Hendrix.
Felicia Hendrix - Barclays Capital: Rob, I was just wondering, you mentioned -- well, actually, Mike, you mentioned. But Rob, I was wondering if you could touch on this, the $125 million capital campaign in Macau. If I heard correctly, that's going to be finished by Chinese New Year 2012?
Robert Goldstein: Some will. Our goal is to finish by Tuesday, but it's a little difficult. I mean, we have a lot of work to do, Felicia, in our houses and it touches, as Mike referenced, all 3 stores: Plaza, Venetian and Sands. It will come intermittently. Probably, the first piece will come at the end of this year. Piece of it will come during first quarter, and some will not happen till second quarter. It's an issue of design approval out of Las Vegas, getting appropriate contractors and labor. And the team there, Ed and Dave, are comfortable that design fits our operational needs. But it's a one -- just like our approach in Singapore, it took a while to get there. It will take a while to get there in Macau. We still think we're a year away from having maximum capacity and the right spaces. And unfortunately, the process is -- it's probably going to 12 months. We'll get pieces of it at the end of this year.
Sheldon Adelson: We ought to give an advance warning to Ken Kay that for the $125 million, we'll have to tap our petty cash account.
Felicia Hendrix - Barclays Capital: Your petty cash, Sheldon, or is that...
Sheldon Adelson: Either the company's or mine. I've shown my willingness to use my petty cash account in the past, and now they want to take the interest rate back from me.
Felicia Hendrix - Barclays Capital: And then Rob, just on that same subject, you were saying that The Venetian you're not as far along. It's just more work to do with the junkets. I'm just wondering, as you talk to them, what are their sticking points? And I know this all takes a long time, but I'm just wondering how long you think it might take to return to low teens market share in the VIP side?
Robert Goldstein: Right. Well, we're very convinced it will happen. I mean, we said in day one, it's a 1 -- it's 18 months -- well, 12 months to 18 months process. I think it's 3 things that we think have to happen. One is the relationships. So I think David and our team over there are really focused on, and I think we're there on the relationship side. We've got the 4 or 5 junkets we want have now committed to us verbally. And some are moving -- you'll see move this quarter into a space. Two, it's a physical buildup to make the space, both pleasurably and then also operationally. The service levels, we can have much better at. And honestly, it's not a deal-driven relationship as much as it is relationship-driven. I think that's why our team has really done a great job of putting it together. But I don't think you'll see the full benefit of the thing until first quarter of '12 and then beyond that. But I really feel very confident we're going to get there, and I think we feel it every day and our team in Macau gets it. We feel a shortcomings especially at the non-Venetian properties. But in Venetian, we're very pleased that our share this quarter were starting to have sense. So we're participating in the growth in Macau in that segment. We're already, I think, a dominant players in the mass. But clearly, we've got growth. And I also referenced that, that growth spills over to our focus on high-end slots. The Wynn guy has done a tremendous job on the high-end slots. We want to grow our -- we're very strong in the mass, but we think there's a lot of opportunity on the high-end slots. [indiscernible] and the same process, which is hiring the right people to source at those people, the right people to service those people, and the right physical spaces. And all that's part of that capital we spoke about. It's not significant relative to the upside of this company. We feel we can do better in Macau, and we will do better.
Felicia Hendrix - Barclays Capital: That's really helpful. And if we could just move to Las Vegas. I mean, clearly, your marketing strategy proved successful this quarter, but you also benefited from the strong convention calendar for you. So I'm just wondering how you're thinking about your cash comp mix in the third and fourth quarter. And then also, I'm sure you know that Steve Wynn mentioned strong demand at his property in July in Vegas, and I'm wondering if you're seeing that as well.
Michael Leven: Let me answer the first question. What we've done in the cash comp situation is adjust over the year. What you will see in this quarter and in the next number of quarters are going to be based upon how the management adjust the cash in the comps. We've been successful particularly at moving at the way we want to. There are some opportunities, we believe, we are seeing that we'll take advantage of. Our forecast is pretty good on that matter, both in cash and comps, the way we're managing it now for the rest of the year looking at it. We've got a good convention calendar the rest of the year. So that allows us to manage those cash and comps a little better. So I think there's still some upside for us in that area. The Venetian, I should also mention when you're talking about capital in Macau, we're also investing a significant amount of capital in the Venetian here, and we're doing a lot of work in our room facilities as well as our casino situation. And by mid-time next year, we're going to have a lot of new stuff in this building. And we're one of the very few in the Vegas market that has the capital capability to change the outcome. And so we're going to be doing that. We've got some catch up to do, and it's being allocated.
Felicia Hendrix - Barclays Capital: Has your room demand been strong in July?
Michael Leven: I think generally, the Vegas market in July in total has been pretty good. I'm hearing from the other competitors that it's been pretty good, and I think our performance in July will be about what the expectation levels is for what people are saying about Las Vegas.
Felicia Hendrix - Barclays Capital: Okay. And then just finally, in Singapore, I'm just wondering where you are with your ETG capacity? The electronic table games?
Sheldon Adelson: Yes, we know what ETG is...
Robert Goldstein: [indiscernible] There's no room left to grow there. As of this week, we've got the last piece on the floor. We're fully allocated now based from government approvals. So we're there totally and...
Sheldon Adelson: We've got room for another 175 units. Are these are going to be ETGs or slots?
Robert Goldstein: It'll be slot [indiscernible].
K. Kay: So today, Felicia, at this date we're there, but we weren't there at June 30 at the end of this quarter.
Sheldon Adelson: The ETG numbers, we're running at about $650, $675 per seat per day. And on the weekend, we're getting to $1,000, $1,100 a day on the ETGs. This is an amazing ETG market. It's really, really incredible.
Robert Goldstein: You saw the growth...
Sheldon Adelson: I wish we had the slot per total percentage, but we can't -- we've got to give the same percentage. Truly an electronic way of betting. Each seat doesn't compute its own game. There's one game to control all the -- whatever number of seats for that, 75 or 150.
Robert Goldstein: We grew our win by sequential Q-on-Q by 18%, and we look forward to keeping it going in that direction. As Sheldon referenced, ETG market there is one of a kind and much stronger any place else in the world. And it appears to have no slowdown. So very encouraging ETG numbers.
Operator: Your next question comes from Shaun Kelley.
Shaun Kelley - BofA Merrill Lynch: I guess my first question was on Singapore. I just wanted to ask, you talked a lot about the VIP side. But Rob, could you just give us your sense on -- you've continued to indicate that the mass market has kind of continued to ramp. Those numbers kind of beat our estimates, too. So could you give us a sense just how that trended across the quarter and whether it's kind of ramping each successive month there just kind of as you've watched the business continue to grow?
Robert Goldstein: Yes, it just keeps ramping. It's very consistent. There's not 1 month trend out. It's just growing. You saw the mass table -- to me, the story in Singapore, which has always been extraordinary, is the mass table and slot wins. I mean, with Q-on-Q 15%, 16% sequential growth, I don't know how to portray the future because every day is different. But the growth is steady April, May, June. It appears to keep going that direction. We've days winning $2-plus million on a weekend, and the whole percent that we normalize in the mid-22%, 23% range, we've got a [ph] history out to see that. So look, it's a wonderful story, and I don't know where it ends or how much it keeps going. But we have a very consistent upward trend April, May, June, with no surprises at the end or the beginning. And it's very gratifying. I think that the team there has really done an excellent job of moving the floor, looking at every square inch of real estate to maximize the opportunity. And of course, the margins, which Sheldon referenced last year, we thought he was aggressive. But it turns out they're very attainable, and we're 67%, 68% on a blended rate and no reason why it shouldn't continue. So it's all very positive coming out of ETG slot mass table.
Sheldon Adelson: We went up 16% from 3.7% or 4.3% win per day in the mass market, which is the mass tables and the slots with ETGs. That's a 64% annual rate. That's one hell of a ramp after being open for a year.
Shaun Kelley - BofA Merrill Lynch: That's helpful. And I guess just to follow up, I mean, on the expense side, the numbers were up again a little bit sequentially. But this time, obviously, revenues were up significantly more. Are we at the right level or kind of on a per day expense rate now? Is this kind of about the right run rate for the property, exclusive of maybe a little bit on the retail side left open just as we think about kind of modeling going forward?
Michael Leven: I think the answer is yes, and some of those expenses go up if you look at -- dependent upon some of the VIP rolling. As that goes up, you get some more expenses. But at the end of the day, from the rest of the building on an undistributed expense basis, we're pretty much where we're going to be. We don't see any real radical change in that. So I think from a modeling standpoint, you can model where we are. By the way, we're always looking for opportunities to do better there and continue to look at it. But I think from a stability standpoint, after 1 year, we pretty much know what it's going to cost and how many FTEs we need to run that building.
Shaun Kelley - BofA Merrill Lynch: And my last question is on 5 and 6. That's kind of a next big event catalyst for you guys. Could you just give us your thoughts on how many tables you'll kind of right now you're planning on opening with, just kind of what's the target for the first part of the casino and then how many tables will be in the second batch, which I think, if I caught your comments right in the prepared remarks, would be with Lot 6A?
Sheldon Adelson: I think we've got about 200 tables in each of the 2 casinos, plus the 150 or so, 140, 150 in the Plaza..
Michael Leven: I think it's 110, 120 in Plaza.
Sheldon Adelson: Yes.
Michael Leven: It's around -- between all of them, it's about 400 to 500 tables between the casinos [indiscernible]. And then the other thing is though, the electronic table games are ramping up very well in Macau now and that's going to effect the amount of space we use in the casinos. So we're not quite sure exactly what that count will be, but I think you can estimate comfortably 200 in each and then about 120, 130 in the Plaza for now.
Shaun Kelley - BofA Merrill Lynch: That's helpful, Mike. And just to clarify, the ETGs count as slot positions in Macau?
Michael Leven: In count, I think it's...
Sheldon Adelson: It's one limitation on tables.
Michael Leven: Yes. I think it's one table for every 50 seats that they count them.
Robert Goldstein: One -- it doesn't matter because...
Sheldon Adelson: It doesn't matter. [indiscernible]
Robert Goldstein: Shaun, it doesn't really matter...
Sheldon Adelson: [indiscernible] slot machines.
K. Kay: Yes, one slot machine for every 50 seats.
Michael Leven: Right. [indiscernible]
Sheldon Adelson: One table game. They're estimating that 50 seats would be the equivalent of one table game, but there was no limitations on ETGs or slots.
Robert Goldstein: As long as you classify the slots, you're very comfortable.
Michael Leven: We'll get to that. We'll have more detail on that for you at the quarter when we get real close to the opening, and we'll know exactly what we're going to be doing. But that's in a state of flux at the moment, but that's approximately what's built there.
Operator: Your next question comes from Harry Curtis.
Harry Curtis - Nomura Securities Co. Ltd.: First of all, Sheldon, we have to thank Dan Briggs for controlling our expectations for Mandalay Bay.
Sheldon Adelson: For Mandalay Bay?
Harry Curtis - Nomura Securities Co. Ltd.: I'm sorry, for Marina Bay Sands. That shows you how old I am. Okay. Well, let's start with sites 5 and 6. Rob, are you learning anything from your move back into the VIP side or the junket side in terms of physical plant when it comes to 5 and 6? Have you done any redesign there?
Robert Goldstein: Yes.
Harry Curtis - Nomura Securities Co. Ltd.: How are you promoting that or building that out so that you can compete with those that have really significant share in that segment?
Robert Goldstein: It's pretty simple. It's a learning process every day, and there's no secrets out there. The Wynn numbers are extraordinary in that key segment, and we look at their design as well as the Galaxy people and we're trying to incorporate the best things from that, the best things available from those respective houses as well as our own experience in Venetians. But in the end, Harry, it's access, it's service. It's not that big a surprise. It's the same things. They remain consistent, whether it's Las Vegas or it's Macau or it's Singapore. It's access, it's desirable environment, it's service, it's relationships. It's not pricing. It's more about those elements. And as we referenced earlier, we have a long way to go, but I think you're going to see some very, very promising results from us in the future quarters vis-a-vis junket segment in Macau, including 5 and 6. So yes, we're learning every day. We're doing this for a long time, but you learn everyday from smart people and you learn to incorporate something and 5 and 6 will reflect some of that. I also think we've got some great opportunity going in the Plaza. So if you go back, and that's a great building. It's under capacity as far as the VIP segment. So I think we can expect some pleasant surprises in the future in the Macau in the VIP from LVS.
Sheldon Adelson: Harry, I just want to point out that it wasn't the absence of the completed room or one nicer room or one ultra nice room. It was that last year with what Jacobs said. He hurt the relationship with the junket reps, and we're getting that back now. So now people are willing to come back, and we're getting new ones and they want more substantial presence. A reminder that we will run it very close on the gross income, a couple of years ago next to SJM, running in the mid to high 20s as a percentage of market share, even though we don't think it's that important, which reflects that we had a lot of the VIP market. And we're the leading -- if people looked at learners' unusual metric of who is leading in the mass market, how many people were coming, we edged out SJM, the 2 Lisboa, the Grand Lisboa and the Lisboa properties on visitation. So we're #1 in visitation now according to that. And so we're getting back the relationship with the junket reps and new relationships. So we're screening those out, and we'll have them back. And I think people -- I don't know anybody that's put any estimates in for Lots 5 and 6 and I don't know why, maybe because it's taken so long to finalize. But we think 5 and 6 is going to be the only property open within the next 3 or 5 years. And it'll be open in part over 2 periods.
Harry Curtis - Nomura Securities Co. Ltd.: Rob, where are you in changing the physical plant on the Plaza?
Robert Goldstein: It's capacity, Harry. We're looking at the capacity opportunity. And look, it's a great building. The Paiza mansions are great. The Four Seasons itself is a terrific hotel. It's world-class spa and shopping. Retail is doing very, very well there. Now it's not plus-plus, but we have under capacity at 42 junket tables. What David and Ed are focusing on growing the capacity on Levels 2 and 3. And we're looking at another additional opportunities within that space to convert. We think we'll do a lot better in terms of adding. I'd love to see the Plaza to get to over 100 tables. It's easier with that potential if we fix our junket relationships. Sheldon referenced that a second ago, but it also takes capacity growth on the gaming tables themselves and that's where we see the biggest single opportunity for us there. We have sufficient capacity. We have room to make it larger. We have to take advantage of that room. And the same thing we want to get more tables into the Venetian. So it's also very honestly is getting the right junket guys in this space versus nonperformers. In the end, it's just looking at your building and looking who's underperforming if the junket can deliver twice to 3x, then want to have that junket versus one that's delivering 1/3 of that. So it's about the right people and the right spaces.
Harry Curtis - Nomura Securities Co. Ltd.: And then the last question relates to the promotional environment. When you compare the promotional environment before Galaxy opened to what it's been, say, in the last month or 2, has it changed much?
Robert Goldstein: Right. I think there's more heat up competitions in Macau in general, and that's part of the caution on the mass side. I mean, it's easy to drive the top line. The question is how you drive the top line and maintain your margins and EBITDA. And I think you are seeing a lot of people worship the revenue numbers especially across the board in Macau. The single worship seems to be on top line. But in the end of the day, you got to make money too. And I think there has been some pressures on some of the operators because, partly, there's a huge growth market and very tempting at every segment: mass, slot table, junket overspend. I think you have to remain disciplined, and that's how you make money and not simply drive the top line. There is more promotional pressure, but I think our team has done a very good job of monitoring it and maintaining margins as you see by the EBITDA coming out of Macau.
Operator: Your next question comes from Robin Farley.
Robin Farley - UBS Investment Bank: I had a question on sites 5 and 6, and you gave a time line from Q1 2012 to early 2013 with the stage openings. I'm just wondering, do you have the number of workers you need on-site today to hit those time frames? Or do those time frames still require additional workers?
Michael Leven: We have the workers now to make those time frames.
Robin Farley - UBS Investment Bank: Okay. Great. And then on Singapore, and I know you're trying to manage everyone's expectations. But on the volume in VIP there, can you comment on how sustainable? In other words, do you think that this is above-average quarter? I know you said you think Q3 may be the best for the year. But is this quarter sustainable with upside likely, or was this kind of an above-average quarter in terms of what you expect for volume for VIP specifically?
Robert Goldstein: There have been various things that have doubled, but I'll agree with that. Robin, the truth is it's a learning curve and [indiscernible]. Yes, I think we've demonstrated slow and steady wins the race. I think our -- I said it before, I'll say it again. The property is extraordinary and so is Singapore as a destination. If we keep doing our job, I don't see a reason why we can't maintain and do better VIP. The team in the field is very, very good. The business is there. Singapore is a wonderful destination. Can I answer if the third quarter is better than the second quarter? I cannot. I would not know. But I believe in my -- I've always believed in Singapore from the day we opened it, and I believe it's going to continue to perform very well. Whether VIP's third quarter is better than second quarter? I just don't know. But I have a lot of confidence in the team, the building and the location. Singapore is just a terrific place to operate, and people want to come there. So if the Pacific Rim keeps knocking out these ridiculous wealth creations and assuming they want to gamble, I think we'll do okay.
Sheldon Adelson: We know, but we can't say. But what I want to say is that when you think about the possibility, Singapore's only been opened for a little more than a year, both properties. And to think that we've saturated the entire market of like 3 billion people within the market radius is not credible thought. There's no way that we've saturated the market, just no way. And the more that people get to learn by word of mouth that Singapore is the place to go, we don't have to tell them Singapore's the place to go, but it's now the place to go to gamble. It's the place to go for tourism. It's the place to go for conventions. And Singapore is now no longer known as a stuffy, conservative place. Nobody's making jokes about chewing gum. But everybody's talking about what great restaurants there are, what a good time you can have when you go to Singapore, what a great destination it is for both FIT and convention. And I don't see -- there's nobody who can convince me that we've even touched the area of saturation of the market. I think Singapore is going to continue to grow and grow and grow. By the way, Robin, did you hear the 55% number?
Robin Farley - UBS Investment Bank: I heard. I noticed that, yes.
Operator: And your final question comes from Bill Lerner.
William Lerner - Deutsche Bank Securities: Two related questions, both VIP. Let me ask Rob if I can. In Singapore, Rob, how bridled, I guess, is probably since we're all -- everybody's so bulled up, rightly so, how bridled do you think Rolling Chip really is? You've talked about limits, taking them up and I suspect the more the greater tolerance for risk you have, the greater demand you could see at VIP. So that's really sort of a structural question and the other is the more macro about Macau.
Robert Goldstein: I think Sheldon said it very well. I just think though as long as the markets in Asia continues to create wealth and people want to travel, I think the growth in VIP is not -- it just continues to be very, very strong. We've raised our -- I think when we talk about this, we believe -- I believe very strongly in Andrew [ph] and David and our team believes -- had advised Mike and Sheldon that we think higher bailing is a positive approach to take. We've seen enormous action, and the swings in Singapore are dramatic, but their volumes are equally dramatic. I don't know whether to accept what you said previously. Demand is there for Singapore. We're privileged in that we operate in 2 unique places. Macau definitely service a different clientele. I think the difference is we're seeing a customer who wants come to Singapore, he can get to Singapore, he can move capital to Singapore and he doesn't need actually junket intervention. What we're seeing is growth in that market without junket intervention in terms of credit, et cetera. But I don't know. I see no reason why we can't grow our business in the VIP segment in Singapore for sure. I think we're just in the beginning. We're not -- hopefully, this is not the -- this isn't just the beginning, not the top. I'm not sure is it Macau what you're asking, Bill.
William Lerner - Deutsche Bank Securities: No. I didn't ask Macau yet. The Macau question really is, do I guess with the passage of time now, Rob, and your full focus in gaming globally, what's your sense on what's really going on at the VIP demand level there, right? So we've been through reserve requirement tightening that have not had a noticeable, if any, impact on credit issuance or just overall demand. There've been other structural changes and macro factors that, I guess, any naysayer would have been wrong about with respect to impact. So is there just something we don't understand? I mean, the mass market, it seems like it's unbelievably nascent for a lot of reasons. But junket, either side sort of would love your view on that.
Robert Goldstein: Well, first of all, I think it's important we clear that. We're just coming made a bet to deal in COTAI. That was a magnificent bet. The capacity we have to grow our junket as well as our mass business is just unparalleled. I mean, not only there. Everyone is itching to go in COTAI, but we're there. We want to be there in a big way in a few short months. So I see my job, and it seems a work in Singapore and Macau, is maximization of the real estate. We made the right macro bet, how we make the thing work and improve our businesses. And I think clearly, our mass business has been exceptionally strong and will get better as our properties get better. I think the offerings are terrific. The VIPs are very different business. Having been there a couple of days ago and almost trampled to death coming off the ferry with families and all kinds of people. I've seen Macau. Macau started [ph] 30 years ago. It's a slightly different Macau today. But the VIP is a very different segment. And if you read the publications and you listen to naysayers, there's trouble with the real estate "bubble" et cetera. Having walked to it last week and having spent a lot of time listening, you don't see evidence of those. You see evidence of a very frothy, a very healthy market. A lot of people with a lot of money and a lot of desire to gamble. If there's a problem -- I shouldn't feel [ph] last week. I went all through Macau on the COTAI as well as the Peninsula side, and boy, it was sure frothy at the VIP. I went through all the major houses, and it was very, very impressive. I don't see it. I'm not an economist. I can't predict what's going to happen with real estate in Shanghai or Beijing. That's not my area of expertise. But I can tell you that I'm not seeing any weakness on the part of junket people. I'm not seeing a weakness in the part of the customers. I think our job is to get our fair share of it, and we've yet to do that. And I think Sheldon referenced it very well our past difficulties. But the future is ours. It's growing. It's sunny and as long as our team stays committed and focused. I'm not aware of the Chinese economy or the capital. That's beyond our control. Within our control, we build this basis, and we simply cater to the customer and make sure relationships are right and we'll be rewarded for it. That's my take.
Sheldon Adelson: Well, we got to adjust that budget because we have to send out our towels. We're afraid of our towels that we sent out to people who get egg on their face because they run projections. We got to send them out to almost every analyst in the street. Ken, can we fit that in the budget?
Robert Goldstein: We've got plenty left over.
Sheldon Adelson: And if you need changes in billion [ph], give my wife a call.
Operator: Ladies and gentlemen, we have reached the end of our allotted time. I will now turn the call back to management for final remarks.
Sheldon Adelson: Final remarks. Well, my final remarks is just what I repeated that you probably got from me before. I see no reason why our continued growth pattern and our trend going upwards will be abated, that any of our metrics will contract.  I think on the VIP side of Macau, we've got that problem solved. All we have to do is just build out the spaces, and we think we ought to be back to where we should be. We're looking forward to an increase in the gross revenue, but I'm very proud of the fact that what really counts, you can't put gross revenue in the bank because you got to pay expenses for that and taxes and commissions. But I think that our EBITDA, we continue to lead the pack and by a substantial margin.  Now that's the most important thing. We could put that in the bank, and that's how we create value for shareholders. So I see us continuing to go up. I see Singapore as a very, very unique place, and I think Macau will also experience it. As more and more people go to places they like. It's like a rising tide. It's going to carry all boats. And because I've never seen a boat stay underwater when the tide went up, unless there was a hole in the boat, and I've never seen a boat stay up in the air when the tide went down. So rising or an ebbing tide carries all boats.  And so I think Macau will -- look at the percentages of growth in Macau. It's amazing. It's just staggering. So I think that what's happening in Singapore is that we wish that we had greater capacity. I think next quarter we'll be reporting some interesting things. And so my model for today is onwards and upwards. Thank you, all, for being part of this call, and we look forward to our next call.
Operator: Thank you for participating in the Las Vegas Sands Second Quarter 2011 Earnings Conference Call. You may now disconnect.